Björn Tibell: Good morning, everyone, from Stockholm and welcome to the presentation of ASSA ABLOY's First Half Year Report in 2024. My name is Björn Tibell, I'm heading Investor Relations. And joining me here in the studio are ASSA ABLOY's CEO, Nico Delvaux, and our CFO, Erik Pieder. As usual, we will now start this conference with a presentation and summary of the report, before we open up for your questions. So over to you, Nico.
Nico Delvaux: Thank you, Björn. Also, good morning from my side. Q2, a top-line growth of 10%. We have a negative organic sales development of minus 1% due to, in the first place, continued challenging market on the residential side, I would say global challenging market on the residential side. Good sales growth in EMEIA and Americas from an organic perspective, stable sales growth in Entrance Systems, but then sales decline in APAC and Global Technologies. But then, again this quarter, good to see that a lower organic sales development is overcompensated with very good growth through acquisitions, plus 11% in the quarter. We continue to be very active on the acquisition side with eight acquisitions completed in the quarter, 11 year-to-date. And I would say very strong operational execution in the quarter. We have a strong operating margin of 16% and it is now including the full HHI leading also to a record operating profit for the quarter above SEK6 billion. Also very good excellent or very good cash conversion, with a cash conversion rate of 107% in the quarter. If we look in numbers, sales of SEK38 billion, 10% up, an EBITA margin of 16.9% and an EBIT margin, like mentioned, at 16%, a bit above SEK6 billion, 11% up. If we comment a little bit on the different regions, I would say, it's a very similar story to tell as in previous quarters. We continue to see challenging market conditions on the residential side, in general, in our main markets in North America, in Europe and in Australia and New Zealand. Whereas mentioned also in previous quarters, we believe that US North America is more ahead in that cycle. As a matter of fact, we continue to see recovery on the newbuild side for residential in North America where we have positive growth of the market, but unfortunately R&R is still bottoming out. We believe that Australia, New Zealand is somewhere in the middle of the cycle and EMEIA later in the cycle. So, definitely in EMEIA, it will take some more quarters to start to see that recovery, but obviously now all the talks around interest rates going down will help us on the residential market condition side. For commercial and non-residential, same story as previous quarters. Not as hot anymore as 18 months ago, but still on a very good level as well in North America as in Europe, as in Australia and in New Zealand. If you then look perhaps at Entrance Systems, the retail side on a good solid level giving us mid-single digit growth for our pedestrian business. Then obviously Entrance is very industrial-GDP related, which is, I would say, on an okay level. And particularly, this quarter, we were suffering a little bit in North America on the loading dock side where, as you know, the Amazons of the world have reduced their investments in warehouses some six, nine months ago. And as we have a lead time of around six to nine months for our loading docks that has affected now our top-line in Entrance Systems. North America minus 2%, that's mainly linked to still the difficult comparison for PACS and HID cards and readers with same quarter a year ago. You remember we had two years ago challenges with semiconductor components, build up a huge backlog and then start to recover on that backlog last year, and therefore, difficult comparison this quarter. That will continue a little bit now also in the beginning of Q3 and then towards the end of Q3 and in Q4, we should then see again a more normalized business for PACS and HID. South America, strong plus 6%. Europe, I think, good, plus 2%, definitely if we take into consideration that we are very exposed to the residential market in Europe. Africa, plus 8%. Australia, New Zealand, minus 4%, where on the residential side I explained them, where on the commercial side we see that we have very good order backlog, but where our customers, the construction companies find difficulties to find people to execute on the project. And then, Asia, minus 11%, where we had double-digit negative growth in Southeast Asia, mainly against a very difficult comparison quarter -- same quarter a year ago. It was a record quarter a year ago. And there where unfortunately we continue to see very challenging market conditions in China. I said several quarters ago that we were convinced that China had bottomed out. We still believe that this is the case, but it takes obviously much longer to start to see a recovery in China than we anticipated some quarters ago. The interesting to notice also is that if you take our geographical divisions, our Elmech business grew 14%. So, we continue to deliver on that strategic ambition to move from mechanical to electromechanical and digital. We also have seen our service business in Entrance Systems growing high single-digit in line with our ambition. And if we look at emerging markets and exclude China, we were up plus 16% or so. Also there that growth driver is delivering. So, market highlights, also this quarter some interesting project wins. We delivered 1,200 hurricane-approved garage doors made of recycled steel for a new residential development in Florida. One of perhaps the largest Dutch bank selected also our revolving door, swing doors and security lanes for their new headquarters. So, interesting exciting win for our new security line product range. And then, we delivered a package of fire rated doors and door hardware for a new data center in Sweden. Several product launches, we only mentioned one here. HID's mobile credentials are now also available in Google Wallet, and therefore, allowing users to access building spaces and systems now not only with Apple devices but also with Android devices. And then, good to see that also this quarter we continue to be rewarded for our innovation efforts. We won two Red Dot product design awards, one for the Expression Speedgate product range in Entrance Systems, and the other one for the Traka Touch Pro intelligent key cabinets in Global Solutions. If we then look at sales growth, so now unfortunately two quarters with negative organic growth, but then again overcompensated in a strong way by growth through acquisitions. It's now four quarters in a row that our business growth has been above 10%. And then, the margins going back in that 16% to 70% bandwidth, 16% for the quarter, 15.7% run rate on a 12-month moving trend, and EBITA margin on a high 16.6% level if you look at the run rate. So, higher top-line, improved margin, therefore, also accelerated operating profit, record profit like I mentioned in the quarter, above SEK6 billion. And you can see the run rate there for the last five years on EBIT up 63%. Another quarter where we have been very active on the acquisition side with eight acquisitions completed in the quarter, like I mentioned, 11 year-to-date, and they represent an annualized sales of around SEK3 billion. If I pick two of the acquisitions this quarter, Wesko Locks, an acquisition in the core, a mechanical core, a Canadian manufacturing supplier of electronic and specialty locks, complementing our high-security products and solutions in the Americas division. They had sales of SEK170 million in 2023. And then, Nomadix and Global Reach further extending our ecosystem for hospitality customers in Global Solutions. They are a US and UK-based provider of Wi-Fi access and engagement platform solutions for that hospitality industry and they had sales of SEK300 million last year. If we then go little bit into the different divisions, for EMEIA, an organic sales of plus 1%. I would say, if you consider that EMEIA is exposed to residential market around 45% of their sales, a good top-line achievement. We have a strong growth in Central Europe, a good growth in Nordics, I would say, against an easy comparison last year. I think in Nordics, we are not out of the woods yet. And it will take a little bit longer before we see the residential business really recovering in Nordics, but we are convinced that it has bottomed out and from here on we should see improvement which is also obviously important from a profitability perspective and stable sales in the other regions. A good improvement of the operating margin to 13.6% with very strong operating leverage, 70 basis points, helped by currency and M&A 2 times 20 basis points accretive. So, a good result for EMEIA in the quarter. We see a very good result for Americas in the quarter with an organic sales growth of 3% with strong sales as well in North America, non-residential as in LatAm. On the acquisition side also a good growth of HHI, high single-digit growth for HHI, and an operating margin of 19%. Now including HHI, a stable operating leverage and then dilutive M&A 140 basis points and dilutive FX 10 basis points. M&A HHI, like I said, sales up high single-digits and a continued EBITA margin improvement, better EBIT margin than the previous quarter and a much better EBIT margin than the same quarter a year ago. So, delivering there also on our ambition as synergies are kicking in. So, very good Americas. More challenging APAC with an organic sales decline of 5% with sales decline in all the different regions like I mentioned in Southeast Asia against a very tough comparison a year ago. In Pacific, obviously, linked to the residential market and then the fact that it's difficult for our customers to invoice on the non-residential side. And then, China, clearly market conditions still very depressed and, yeah, therefore also affecting our overall business. What is good is to see the operating margin improvement at 8.3% despite an organic sales decline of 5%. Also good to note is that we are back to positive margins in China even with a double-digit negative growth in China, thanks to strong volume leverage helped by FX and then M&A 10 basis points dilutive. If we then go to the global divisions and start with Global Tech, organic sales minus 7% where we have seen a strong sales growth in Global Solutions in most if not all verticals, but where we then were hit in HID mainly by the PACS business as explained earlier, the difficult comparison with last year. Global Tech, an operating margin of 15.8%, obviously because of the lower top-line and then definitely also the mix in the sense that we had more Citizen ID with much lower margins and much less PACS with much better margins. FX neutral and then M&A also diluted in a more important way, 100 basis points. That is because we did four acquisitions in the quarter with a lot of related acquisition costs, but also because we bought some time ago Messerschmitt, which is an acquisition in the hospitality space in Global Solutions in Germany, giving us now also stronger market leadership in Germany. Unfortunately that is a turnaround case and therefore it will take some quarters before we can bring margin up in that business and therefore that will remain dilutive from bottom-line perspective for some more quarters to come. And last but not least, Entrance Systems, flat top-line, 0% organic sales with strong sales growth in pedestrian, sales decline in the other three. Perimeter security, I would say, just the timing effect. [No drama at all] (ph) perimeter security, if you look on the longer term, is performing on a very high level. Residential, obviously linked to the residential R&R site in North America, and then industrial decline mainly because of the loading dock business in North America. Good to see that we continue to see, like I mentioned earlier, very strong sales growth in service, very high single-digit. And then, strong execution and operating margin of 17% with very good operating leverage of 80 basis points, helped by currency 20 basis points and then M&A dilutive 20 basis points. So, I would say, overall also good quarter for Entrance Systems. And with that, I give the word to Erik for some more details on the financial numbers.
Erik Pieder: Thank you, Nico, and also a very good morning from my side. I think you've heard a lot, but I'll repeat a couple of things here. I mean, sales were up with 10% in the quarter, of course, very much driven by the acquisition growth of 11%. Now we have actually been the proud owner of HHI for more than a year, which means that as from next quarter, they of course, will be a part of our organic growth. But still, you heard also before that we are being quite active on the acquisition front. So, we will still have in the quarters to come a good contribution from our recent acquired companies. Operating income is up with 11% and we reached above the SEK6 billion in the quarter. Margins is the same as what it was a year ago on EBIT level at 16%, but this of course includes for the full quarter then HHI. Income before taxes is lower. We have roughly in the quarter about SEK850 million in interest cost. This is about SEK400 million higher than the same period last year. And of course, that comes from that we have now a higher debt as well as we sort of also encountered the higher interest rates that is now out in the market. Net income and earnings per share is up with 5%. Operating cash flow is still very strong to be at Q2. We had, of course, an exceptionally strong quarter last year, but as mentioned before by Nico, the cash conversion in the quarter was at a good level of 107%. And last but not least, on this slide, return on capital employed ended up on 14% for the quarter. If we dissect and go a bit into the bridge, the minus 1% on the organic sales side consists of a positive 2% price, which means that the volume was actually down with minus 3%. You can see in the bridge that we have a negative top-line on organic, but we have a positive contribution then on the income side, which is driven -- and we have been able to offset the lower sales with pricing, lower material cost. We had savings of roughly SEK180 million from MFP. And then, we have other strong, let's say, cost control measures that has also helped us in a positive way in the quarter. Currency, you see the same in the bridge that you see on organic. You have a negative top-line, but then you have a positive bottom-line. This comes from -- the positive bottom-line comes from, let's say, small positive transaction effects on various currencies that we had in the quarter. And acquisitions, as mentioned before, it sort of contributed 11% on the top-line. It has a slight negative dilution effect on our bottom-line. I think you have heard before, HHI the divestment a year ago of Emtek in the US, the acquisition cost and also I think some of the acquisition -- one of the acquisitions then that was before mentioned by Nico. If you look on the cost breakdown, direct material is positive with 270 basis points. Roughly half of that comes from the positive mix where we had a stronger Americas, we had a weaker APAC, but then also we have the interdivisional mix. You saw before that like in Entrance that we were stronger on the service side than what we were on the equipment. And for those ones who can count, half of, let's say, of the 2.7 points, 270 basis points is roughly 135 basis points, which comes from, let's say, the pure price versus cost. On both conversion cost as well as SG&A, we're impacted by the lower sales as well as what the inflation -- as well the high inflation as well as the higher wage cost, which sort of has a negative impact there. But also if you look on SG&A, we have continued to invest in R&D as well as into our sales organization. But if you look from a like-for-like, we are 40 basis points better than the same quarter a year ago. Operating cash flow, mentioned before, it's strong. This is driven by, let's say, the earnings. If you look on our working capital, it's more or less on the same level as what is being -- as what it was before. We talked about in the quarter, the cash conversion rate was 107%. And if you look on the 12-month rolling, it's 118%. The gearing, we ended up on the same level on net debt versus EBITDA at 2.4. That's what we had in Q1. The net debt to equity is much lower than what it was a year ago. We're at 75% last year. This year we're at 68%. In value, the borrowings went up with roughly SEK700 million. We've heard before that we had a very good cash flow, but then it's then offset by sort of the eight acquisitions that we have done as well as we have paid dividend during the quarter. All in all, I think that we have a very strong financial position and can continue our acquisition strategy. The last slide from my side, you've heard the number before that earnings per share went up in the quarter with 5%. And with that, I hand it back to Nico for some concluding remarks.
Nico Delvaux: Thanks, Erik. So, we can conclude, it was a good quarter, with strong profitable growth, an organic sales decline of minus 1%, but then strongly overcompensated with very strong growth of acquisitions of plus 11%. Strong execution giving us a bottom-line EBIT margin of 16% and a record operating income above SEK6 billion. Excellent cash conversion at 107%. And then, like in previous quarters, it's clear that we continue to operate in an uncertain economic climate, therefore, we will continue to take advantages of the opportunities we see. We will continue to invest and grow in those markets and in those segments where we see the possibility to grow, but we will also adapt our cost structure in those markets where we see more challenging situations. We will remain agile and efficient. And our agility and our efficiency in a decentralized organization has given us good results this quarter and previous quarters, and we are confident that will also be the case in the quarters going forward, irrespective of what market conditions we will come across.
Björn:
Björn Tibell: Thank you very much, Nico. Well, yeah, it's time for Q&A. I've been informed that we have more than 10 people in the queue. So, just a reminder to limit yourself to one question each and one follow-up so we can get through, hopefully, the queue as in complete. So with that, operator, it means that we are ready to kick off the Q&A session. Please go ahead.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Daniela Costa from Goldman Sachs. Please go ahead.
Daniela Costa: Hi. Good morning. Thank you so much for taking my questions. I'll do two. The first one is just to ask you for maybe a little bit more color on why you are confident still on that US recovery remains high or as high as before given where we've seen things like the Dodge Institutional momentum coming down quite significantly, the housing starts have had more mixed data? So maybe a little bit more color on what we are seeing sort of in your specs, tendering and inquiries? And then, the second one, just maybe I've missed it, but did you mention anything regarding July start? I know sometimes in these calls you've mentioned that, so that color would be helpful. Thank you.
Nico Delvaux: So, Daniela, was it on the residential side in the US or the non-residential side?
Daniela Costa: It was actually on both. I think we have seen mixed data on housing starts and also the Dodge data and the ABI data for non-resi. So if you could comment on both.
Nico Delvaux: Yes, we can try to do so. Like I said, on the residential side, we see that newbuild has turned and is growing again. We see that in our window hardware business where we deliver window hardware to window OEM manufacturers in the US and there is more of that business going to newbuild. And on the newbuild side we see positive growth again. We see it a little bit on the HHI side, where we had high-single-digit growth like I mentioned earlier. We don't see it yet on the residential garage door business in Entrance Systems because they are more exposed to R&R than to newbuild. And R&R is definitely still declining. It's not growing yet. I think for R&R to come back, people have to move houses. And therefore, yeah, we need some interest rates cuts. And as it looks much more likely now that interest rates will come also in the US, therefore we are also more optimistic now on the residential side. In general, that after the newbuild, also R&A will follow. When it comes to the non-residential side in the US, like I mentioned before, we believe it's not as hot anymore as it was 18 months ago, but we still see very good momentum. You have seen also the growth we had in Americas in Q2, which is basically today, you could say only non-residential growth because the organic part we have on the non-residential side was very small if we exclude HHI. Talking to our channel partners, they are still very positive, a bit more positive on the institutional side perhaps, than on the non-institutional side. Verticals like education, K-12, university, government verticals, still very positive. It's true that ABI index is now, what is it, 18 months in negative territory. I would say the Dodge index is a little bit better. But what you, of course, also see is that Architecture Billings Index, first, it's only about newbuild. And obviously, we are much more exposed to R&R than to newbuild. And for newbuild, it's only a part of the newbuild. If you take, for instance, data centers, which is a smaller vertical, but a very fast growing vertical, most of those data centers are obviously not spec to architects, they don't come into the numbers of the ABI. And I think something similar is true for many different -- many other institutional projects. So that might be one explanation why we see the deviation between ABI indexes and our business. I can only say that we are still very confident on the non-residential side for the coming quarters in the US. Then on the second question, your exit rate for July, I would say that, in Q2, if you compare for working days, and then also beginning of July, if you compare working days alike, it has been very flat. We haven't seen things going up or down. Perhaps you could argue that the deviations are perhaps a little bit in greater China, but it's small in the bigger picture. And then, of course, we had the loading dock business in North America, which had shown for us double-digit negative growth in the quarter. But apart from that, it has been very flat if you compare for working days.
Daniela Costa: Thank you very much.
Operator: The next question comes from Midha, Vivek from Citi. Please go ahead.
Vivek Midha: Thanks very much, everyone, and good morning. I have, I think, one question on Global Technologies. You, of course, highlighted the impact of the backlog last year. Would it at all be possible to give us an estimate of the underlying growth excluding that backlog impact on the comparable? And what visibility do you have on that return to more normalized underlying growth by the end of the third quarter? Thank you.
Nico Delvaux: It is a little bit difficult because, of course, there's no exact science and you have an estimate on one side of how much of the backlog you invoiced. You also have a little bit of an estimate of how the stock situation is of your channel partners. And of course, delivery times have been very, very different two years ago, a year ago and today. So therefore, it's not an exact science, but we still believe that once the backlog is stabilized on the PACS, on the cards and the readers, that we would go back to a normal organic growth rate, which has been historically prior to this phenomenon, around mid single-digit growth, I could say.
Vivek Midha: That's it. Thank you.
Operator: The next question comes from Andre Kukhnin from UBS. Please go ahead.
Andre Kukhnin: Good morning. Thank you very much for taking my questions. Can I just ask specifically about the specified activity that you're seeing in US and Europe? We've kind of tracked the growth rate of those quarter to quarter, so it'd be great to get an update of what you saw in Q2 in your own specifiers.
Nico Delvaux: So the spec business has been up lower single-digits in the quarter. If you look for the different verticals, I would say, very similar as previous quarters, where obviously offices and multifamily in the US are not so strong, but where we still see good momentum on K-12 universities, everything that is government related. In the US, the deviation in the quarter was perhaps a little bit on the healthcare side, where it was weaker in the quarter. Let's say we are confident that it's just a quarterly thing, that it's not a trend, because people continue to invest on the healthcare side in North America. In Europe, similar as previous quarters. The things that are growing the most is electromechanical and then definitely everything what is green-related sustainability, where we continue to see very high double-digit growth on everything what is sustainability-related, but overall lower single-digit growth.
Andre Kukhnin: Great. Thank you very much. And if I could follow up just on the Global Tech margin and the M&A dilution that you called out. Could you split out, of the 100 basis points, how much was just the effect of closing several deals in one quarter and the acquisition closing-related costs versus how much is from the Messerschmitt dilution, which will be ongoing for a little longer?
Nico Delvaux: I don't know the exact number, but I estimated around one-third is the Messerschmitt-related phenomenon. And then, a bit less than two-thirds is the, you could say, acquisition-related costs.
Andre Kukhnin: Perfect. Thank you very much.
Operator: The next question comes from Andrew Wilson from JPMorgan. Please go ahead.
Andrew Wilson: Hi, good morning. Thanks for taking my question. I just wanted to ask on the HHI growth in terms of the high single-digits year-on-year. I mean, that feels a really good number in the context of basically US resi market, which we've just talked about obviously being challenging. Is there anything, I guess, in the base to be aware of there or is that already seeing some of the benefits in terms of that being part of ASSA more broadly?
Nico Delvaux: I'd say that we are definitely very happy with the number, but of course, we should also not forget it was an easier comparison because they already started to go down same quarter a year ago and that we will see now more and more also for the other residential businesses going into Q3, that the comparison becomes easier. But nevertheless, yes, I think it's a good number, a promising number also going forward.
Andrew Wilson: And I guess the link being the resi side, but I just wanted to ask on Southern Europe, kind of heard from, I guess, some industry sources in terms of Southern Europe maybe weakening off a little bit after a period of sort of relative strength certainly to Northern Europe. Is that anything you've seen or can we kind of file that under still relatively solid, as you said, for most of the rest of Europe?
Nico Delvaux: You are talking specifically about the residential side now in such?
Andrew Wilson: Yeah, sorry, specifically resi, sorry, Nico.
Nico Delvaux: Of course, I mean, like in Italy, you had of course the tax incentives on the residential side that have stopped now. So that definitely has a negative effect on the business in Italy. But our bigger market in South Europe are France and Spain. So, I think in the bigger picture you can say that, like I mentioned earlier, the residential market is not good, but it has leveled out on a low level and we don't see residential market in South Europe further declining.
Andrew Wilson: Thank you. Very helpful.
Operator: The next question comes from Magnus Kruber from Nordea. Please go ahead.
Magnus Kruber: Hi, Nico, Pieder, Björn. Magnus here from Nordea. Could you expand a bit further on the underlying margin progression in America's ex-HHI? Either how much HHI improved sequentially or the business ex-HHI is?
Nico Delvaux: So first, if you take HHI, we delivered there on the promise to improve margin quarter after quarter. Like I mentioned earlier, HHI had a better EBIT margin this quarter than previous quarter and a much better margin than same quarter a year ago. And we are confident that that trend will also continue now in the coming quarters. If you then look on the organic part, you have seen that the leverage has been more neutral. And that comes, of course, because we have less price component in the Americas than the group average, which is true for Americas' Entrance Systems. Like, I mentioned that earlier calls, they are the two divisions that are most exposed to steel. And obviously they were profiting from price increases when steel inflation was very high. At a certain moment, it was 200% up in North America. So, they could realize good price increases at that time. Now it's clear that we are done with price increases. We are happy we can keep the prices on steel. And as inflation continues, labor inflation, energy inflation, also logistic inflation, with some of the political challenges with the sea transport coming from Asia, that explains the more neutral leverage on the organic part, and therefore also the more stable margin on the organic part.
Magnus Kruber: Got it. Thank you so much. That's a good segue to the next one. Could you help us a little bit with what you expect in terms of cost actions and contribution from price over the balance of the year? I think you have had 2% price now for roughly a year. How does that momentum look going forward on the group now?
Nico Delvaux: Like I mentioned at previous occasions, we should calculate this year with higher price component than, let's say, prior to COVID where we were living in a lower inflationary world, where we are now clearly living in a more high inflationary world. So I've said in the previous occasions that I would be disappointed if the price component would not be at least 2% this year. And I remain with that statement. I think we should still see good price versus cost accretion in Q3. Obviously, it will be less than in Q1, Q2 because we are over the top, but it still should be a good positive. And then towards Q4, towards the end of the year, we will then more come to a neutral situation cost versus price.
Magnus Kruber: Perfect. Thank you so much.
Operator: The next question comes from Alexander Virgo from Bank of America. Please go ahead.
Alexander Virgo: Yeah, morning. Thanks for taking the question. I wonder if you could just pick up a little bit back on that July comment that you gave us. Some flat Q-on-Q. It doesn't sound like we've got an awful lot of momentum, obviously, into a second half where you would still -- the market's still expecting a probably high single -- sorry, mid single-digit, I beg your pardon, by Q4. As you look forward over the dynamics that you are seeing in the US, the dynamics that we're seeing even in Europe, it doesn't feel like there's an awful lot of momentum out there at all. So, I just wondered if you could comment a little bit about the broader dynamics as we start to think about how we look to 2025 as well. And I appreciate you don't guide, but I just want a feel for how you guys think about the setup, given actually all the data we're seeing points to unlikely at least for any kind of meaningful growth to be sustained. And I'm guessing -- I'm talking US, particularly here, but US and Europe is, I think it's also fair to say that.
Nico Delvaux: If you take the different parts again on the non-residential side, on the commercial side, like I mentioned earlier, we are still very confident on market conditions on the non-residential side, again, not as hot as 18 months ago, but on a good level. And we foresee that that good level will continue in the world in general. So, as well in the US as in Europe, as in Australia and New Zealand. So, you should be helped by that. Like we said, on the residential side, we are convinced that the market downturn has bottomed out in North America and that from here on we should start to see incredible improvement. We see that improvement already on newbuild and we are confident that that improvement will also come on the R&R side once interest rates now start to go down. In Europe, it will take a little bit longer. So perhaps that's something more for 2025, if you want to have some idea about next year. I think Europe has bottomed out and from here on we will see incredible improvement, but it will take a bit longer because Europe is later in the cycle on residential than Americas. And like I mentioned, Australia, New Zealand, we believe it's somewhere in between. On the residential side, good news is also that the comparison obviously becomes easier because residential went already down even a little bit in Q2, but definitely Q3, Q4 last year. So that should give us a tailwind in the comparison and percentage growth. And if you then take Entrance Systems, we will continue to deliver on the service side with that high single-digit growth, we will have an easy comparison for the residential garage door business. And then, on the negative side is more the loading dock business in the US, where there is the longest backlog that we have between, you could say, orders and sales between six to nine months where we see that the challenge on the loading dock business will definitely continue in Q3 and where then towards Q4, we should start to see improvement because we see activity in the market being bottomed out. And we see from here on incredible improvement again on the warehousing vertical in the world, I would say, and also in the US, we continue to have the pricing component, which should help. And then somewhere in the middle of Q3 also the PACS issue will fade out and we will get back to normal -- more normal levels in Global Tech towards the second part of Q3 and definitely in Q4. So I would say, I would be very disappointed if we would not have again organic growth in the second half of the year.
Alexander Virgo: Okay, thank you. And if I can follow up just on Entrance Systems and margins, I wondered how much of the margin there is being driven by the mix benefit of having this service business growing high single-digit, and whether or not you could expand on the margin potential in that business once we -- where do we see service kind of normalizing, if you like?
Nico Delvaux: Yeah. Margins are obviously better in service than on equipment. And also this quarter, we had a more important deviation between the growth we had on service versus the growth we had on equipment. As a matter of fact, we had negative volume growth on equipment and high single-digits positive growth on service. That clearly helped on the margin, but I would say that we had good margin development. If you take a longer period in all four segments as well in industrial, as in pedestrian, as in residential, as in perimeter security, and you know, in perimeter security and residential, we have hardly any service business. So, there the margin improvement really came from the very good job done on the operational side, price versus cost, but also operational efficiency improvements. We have always said that Entrance Systems long or midterm, we have that ambition to bring them within the 60% to 70% EBIT bracket. I know that we are now several quarters around that 17%, but we still want to temper a little bit ambition and say if it's above 16% within that 60% to 70% corridor, we will be happy. Because the same story is obviously true for Entrance Systems as for Americas. They are also very much steel related with steel garage doors, fencing business. And there, like I said, for the time being, we are done with pricing and inflation obviously continues and we continue to invest also in ways to further grow the business. So that 16% to 17% bandwidth that we aim for as a group should also be a good indication for the margin of Entrance Systems going forward.
Alexander Virgo: Okay, great. Thanks, Nico. I appreciate it.
Operator: The next question comes from Gael de-Bray from Deutsche Bank. Please go ahead.
Gael de-Bray: Good morning. Thanks very much for taking my questions. The first one is on Global Tech. If we set aside the negative impact coming from last year's exceptional backlog execution, which I think was probably around 4%, the underlying performance of Global Technologies is still disappointing and it continues to underperform the growth that we currently see in the EMEIA or in the Americas divisions. So, any particular reason why that is the case? I mean, perhaps there is a greater competitive intensity. And is there any specific plan to try and reignite growth for physical access control specifically? Thanks very much.
Nico Delvaux: If we make the calculation, I think the gap is a little bit smaller. We attribute a bit more of the difference through to the PACS backlog. But I think it's fair to say that we are not entirely happy with the performance of the other business areas in HID, in particular. I think, on Global Solutions, we see good growth, good development of the different verticals. It's more on the other business areas in HID. There is, of course, market dynamics where we also see that some of our distributors had overstocked and are working little bit on adjusting their stock levels. But I think where we also can do better internally to get better growth and better performance in those other business areas, that's something we are working on. But again, the main effect is the PACS backlog. And I think we will know towards the second half of this quarter, Q3, and then definitely in Q4, if our calculation, our estimates are correct. And again, we are still convinced that the underlying business of PACS, which is the majority in HID, has this, let's say, mid single-digit organic growth run rate.
Gael de-Bray: That's actually something you expect to be visible as of Q4.
Nico Delvaux: Yes.
Gael de-Bray: Okay. Thanks very much.
Operator: The next question comes from Mattias Holmberg from DNB. Please go ahead.
Mattias Holmberg: Thank you, and good morning. On net financial items, I think that you've guided earlier in the year for about SEK3.5 billion for 2024. Just curious, as the run rate for the first half has been a bit lower than that, you expect a higher interest cost in the second half, or is it reasonable to assume that it might end up a bit lower than the SEK3.5 billion?
Erik Pieder: We stick still to the SEK3.5 billion, but then, I mean, obviously as interest rates now might come down, then it might be a little bit lower. But for the time being, we stick to what we've said before, the SEK3.5 billion.
Nico Delvaux: And it depends on our acquisition.
Erik Pieder: Yeah, it also depends on, let's say, on sort of the acquisitions as well.
Mattias Holmberg: Of course. A quick follow-up. With your relatively high US exposure, do you think that there's any risk you might end up in sort of a crossfire on tariffs?
Nico Delvaux: As you know, we have the strategy to produce locally for the local markets. And if you take, for instance, the Americas division, more than 80% of what we sell in North America is produced in North America. Then, we have obviously the remaining a little bit less than 20% that comes from Asia and the vast majority of that comes from China. So clearly, if tomorrow politicians will decide to increase import duties from China, that will affect our cost structure on that 15% to maximum 20% of the things we buy in China. I think the good thing is that it's the market that buys these things. In China, it's more on the lower end of the market, it's less sophisticated product offering. So in that aspect, our competitive situation is not really changing dramatically. And as we operate in a market where inflation can be put through to price increases into the market, if that happens, we are very confident that, through price increases, we and the market, our colleagues in the market as well, can mitigate that cost increase.
Mattias Holmberg: That's clear. Thank you.
Operator: The next question comes from Anders Idborg from ABG Sundal Collier. Please go ahead.
Anders Idborg: Thank you. Good morning. Just a question on the Nordics. This is the first time for a while that we've seen you growing there. I appreciate you said it was mostly due to the Easter comps, but we are still very much below where we used to be, and this is a high-margin business. So, what's the leverage on the upside from a normalization in the Nordics? Have you managed costs down very aggressively here and need to reinvest and basically counteract some of that upside? Or do you think this is a big swing once those volumes return?
Nico Delvaux: I hope this problem would come, because if this problem comes, Anders, it means that we are growing very fast again in the Nordics, and then it would be a positive problem to have. I mean, we are, like I said, agile, I mean, if market starts to recover in Nordics. But we hope, and we are confident that that will happen in the coming quarters, because we believe we are bottoming out in the Nordics. We should not have any problem to ramp up again our capacity if recovery is on normally or even on a faster level. And I mean, it would be good for us because, as you know, we make better margins in the Nordics and in the rest of EMEIA. And that's clearly something we need. We need volume growth in EMEIA again, and the recovery of the Nordics to deliver on our ambitions for bottom line margins for EMEIA.
Anders Idborg: Okay. Yeah, thanks. And a follow-up just on M&A. I mean, you spent more than SEK4 billion already this year, up to SEK68 billion of debt, about 4% accretion from M&A. Do you think you can keep the pace up or are you basically fully loaded now as you see it from a balance sheet and execution point of view?
Nico Delvaux: We...
Erik Pieder: You could start.
Nico Delvaux: No, I mean, like Erik mentioned in the presentation, we believe we have a healthy balance sheet. What is important also to see is that those acquisitions we do deliver cash, so it's good companies we buy. So, we are very confident that we can continue our acquisition strategy of buying this 20 smaller companies per year, good companies that we then make better. It's obvious, if tomorrow a big acquisition would come up, that would be a different story. Then we have to look at other ways of financing. But for the normal, I would say, what is for us day to day acquisition business, we don't see any problem.
Erik Pieder: And also there, I mean, you see that we continuously have a good cash flow, which means that we can also, let's say, pay for the acquisitions through, let's say, through the cash that generates through operations, whether it's then the organic part, as well as we generate also cash from the acquisitions that we acquire.
Anders Idborg: Sure enough. Thank you.
Operator: The next question comes from James Moore from Redburn Atlantic. Please go ahead.
James Moore: Yeah, morning, everyone. Good morning, Nico. My question is really on the margin in the second half. I'd like to touch it on three parts, if I could. HHI, great top-line growth, margin progressing. Get those comments. Is there any seasonality on margin to consider or whatever number you just did in the second quarter, can you keep progressing that, or does it have to come back on some comp? That's really the first part. Maybe we go one at a time.
Nico Delvaux: So, what was the last comment.
Erik Pieder: No, on HHI, as we previously said is that, let's say, from a top-line perspective, the better quarters are Q2 and Q3. And then, it's -- let's say, it's a little bit weaker than on top-line then for Q4 and Q1. However, you have also seen that we have had a progression on EBIT, let's say, every quarter, and we still sort of expect that we should be able to continue to have, let's say, a positive EBIT evolution on HHI also for the second half of the year.
James Moore: That's great. And turning to Global Tech, if I could, the margin below 16% in the last couple of quarters, I understand the PACS silicon backlog mix effect stuff, and I understand that there's a bit more impact maybe for July and a bit of August. Should we then be clean? And once we're clean, can we kind of get back to a 17%, 18% corridor where we used to be? Is that the sort of framework given where you are on Global Solutions? I assume Global Solutions is now back up and normalized post-COIVD?
Nico Delvaux: Yes, that is the case. We have always said that we want to have Global Tech somewhere above 17%, in that 17% to 18% range. We said at previous occasions, some of you were dreaming about 19%, 20%. That will not be the case, but we definitely have the ambition to bring it above that 17%. And once things normalize, like for like, that should be the case.
James Moore: And just on Global Solutions, Nico, is it fair to say that that is now back to a more normalized level after all the challenges around the COVID period?
Nico Delvaux: Yes, that is definitely the case, I think in Global Solutions, like I said, we continue to grow very nicely on all the different verticals, but obviously hospitality is the biggest vertical, and there we are significant above pre-COVID levels. And that's now again run as a, you could say, mature business with good solid top-line growth and good margin.
James Moore: That's great. And the last point, if I could just try. Your APAC margin has developed 50 bps and 80 bps in the first and second quarter. Pretty good result considering the double digit drops in China. I know there was some currency help. Can you continue to progress in that sort of dimension in the second half on profitability for the whole of APAC? Were there any other factors we should consider?
Nico Delvaux: Like we mentioned, we are in Greater China back to black numbers now in Q2, which has been a long time that was not the case. Obviously, if we would get some help from the market, it will help us to further improve that margin with existing top-line levels. In Greater China, it will be difficult to do much better than just black numbers. And I would say the same is a bit true for APAC in general. It's clear that we need volume growth. We need volume growth to compensate for inflationary pressures. And therefore, commercial or non-residential market has to keep up where we are confident that that is the case. And residential should come back because Australia and New Zealand is exposed in a very important way to residential in Australia and definitely in New Zealand, but also through their fenestration business in the US. And pedestrian business in the US, that should start to grow again in the second half of the year. So that should be a plus. Residential market in New Zealand and Australia, I don't think that will happen in the coming quarters. That's a little bit like Europe. It will take a little bit longer.
James Moore: Very helpful. Thank you very much.
Björn Tibell: I think we have time for one more question, operator.
Operator: Okay. The last question is from Rizk Maidi from Jefferies. Please go ahead.
Rizk Maidi: Yes, good morning, gentlemen. First one is on the weakness on the US loading docks. Can you perhaps just talk us through the exposures there? I know you categorize it within industrial. Can you just give us a sense of how big this segment is within the overall Entrance Systems? And if I understood you well, based on your order intake or your backlog, it looks like Q3 is again weak and then Q4 will be back to normalized level. Just if you could clarify this, please.
Nico Delvaux: So, it's around 15% to 20% of Entrance Systems in that ballpark. And, yes, there is -- loading docks is perhaps the product segment where we have the longest visibility. And the lead times are between six to nine months. Depends a little bit if it's big projects, it can be nine months. If it's small projects, it can also be just three months. But so we have a little bit better visibility on the loading business than -- loading dock business than we have on a lot of other things. And yes, we have said that Q3, definitely from a sales perspective will remain challenging. And then towards the end of Q4, we should start to see improvements.
Rizk Maidi: Perfect. And then, the last one on my side is just on the HHI margin, going back to this topic again. I see it on your EBIT bridge in Americas, 14.5%. Is that overall what we should basically assume for HHI? And secondly, you talk about now being even more confident to achieve the $100 million of synergies in the press release versus a year ago. Can you talk about where this sort of confidence comes from, but also whether you are getting faster synergies than perhaps initially expected?
Nico Delvaux: The 14% you mentioned is of course in the bridge. So, you should compare with the costs and all the other things that we had same quarter a year ago. So, it's not a 14% EBIT margin, if that is what you allude to. That's not the case yet. That would have been fantastic if we would already be on that level just after one year. So, it's still lower. But it's true that our synergies start to kick in. We see good savings on the material side, where obviously HHI is buying material. We are buying material. One of the two buys it cheaper or lower cost. So. combining volumes, we get the benefit. We have started to load some of the factors of HHI with more products that we were buying outside and we now produce them in-house in the HHI factories. We have started to sell -- to cross-sell in North America. We start to include some of the HHI products in our specification projects. And as we started to do that a year ago, we start to see also the first results there. We are expanding their export business in LatAm through our own organizations we have there. Same is true in Southeast Asia and in Australia and New Zealand. And then, I think HHI has done also a very good job in that vacuum period where we were waiting for the approval of DOJ. They have invested in new products and they have also done a lot of efficiency measures on the operational side. That together with some better price realization leads to the continuous margin improvement that we have now seen for, I think, four quarters in a row. And we are confident that that margin improvement will continue for the foreseeable future for the quarters to come.
Rizk Maidi: Thank you.
Björn Tibell: Thank you, Rizk. Well, it's time now to round up this conference. Thank you very much for the participation and interest. And I think it only remains for us to wish all of you a happy summer. And we look forward to speaking to you after probably the summer break. Thank you.
Nico Delvaux: Thank you. Happy summer. Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Good bye.